Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Liberty Global’s Investor Call. This call and the associated webcast are the property of Liberty Global and any redistribution, retransmission, or rebroadcast of this call or webcast in any form without the expressed written consent of Liberty Global is strictly prohibited. At this time, all participants are in a listen-only mode. Today’s formal presentation materials can be found under the Investor Relations session of Liberty Global’s website at www.lgi.com. Following today’s formal presentation, instructions will be given for a question-and-answer session. As a reminder, this conference call is being recorded on this date, May 7, 2013. I would now like to turn the conference call over to Mr. Mike Fries, President and CEO of Liberty Global. Please go ahead sir.
Mike Fries: Thanks operator and hello everybody. Good morning or good afternoon, (wherever) you are. We have our typical group on the call today, Bernie Dvorak and Charlie Bracken, our co-CFOs; Balan Nair, Chief Technology Officer; Diederik Karsten, EVP of European Operations; Bryan Hall, General Counsel and of course, Rick Westerman, Head of Investor Relations and Communications. So and let the operator take us through the Safe Harbor statement and then we will get kicked off. Operator?
Operator: Thank you. Page 2 of the slides details the company’s Safe Harbor statements regarding forward-looking statements. Today’s presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including the company’s expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed from time-to-time in Liberty Global’s filings with the Securities and Exchange Commission, including its most recently filed Form 10-K/A and 10-Q. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the conditions on which any such statement is based. I would now like to turn the call back over to Mr. Mike Fries.
Mike Fries: Thanks. Our agenda is going to be typical here. I will do an overview of the results, Bernie will jump into the numbers then we will get your questions as the operator says we are working off of slides, and I’m going to start with slide 4 highlights beginning with our organic growth our most important value driver. We did deliver $373,000 net RGU additions in the quarter representing another strong quarter for us and bringing our total RGU based over $35 million. Revenue was $2.8 billion up 5.8% over the last year rebased, actually our best first quarter in six years. Operating cash flow in the quarter was $1.3 billion representing rebased growth of 4.1%. Bernie is going to provide more detail but OCF growth is below revenue growth due largely to lower margin mobile revenue in Belgium and Chile. The main update on the M&A front is of course that we are on track to close the acquisition of Virgin Media early next month, our shareholder vote is scheduled for June 3rd and Virgin Media shareholder for vote on the deal one day later on June 4th. Obviously, we’re excited to complete the deal and we’ll be announcing some important decisions around leadership at Virgin Media actually this week. Me also have noticed that we opportunistically acquired an 18% stake in Ziggo over the last couple of months and some folks have been quick to jump to conclusions about our intension here, I think these are really market driven opportunities for us to own a piece of an asset that we know well in a market where we are already heavily invested of course. And we think the Ziggo management team is great and even without our ownership interest, we’re working on several strategic initiatives together. And then finally a couple of quick comments on our balance sheet at the end of March we had total liquidity of $5 billion including $3 billion of consolidated cash. And as ever we’ve been pretty active in the capital markets of course we raised all the necessary capital for Virgin Media and we also extended maturities on roughly $5 billion of debt so far this year. As a result, about 90% of our long-term debt is due 2017 and beyond. And our average borrowing cost is now below 7%. So, all three elements of our value creation strategy are clicking and steady operational and financial growth, a progress in our key M&A initiatives to drive scale and accretive management of our capital structure. As we do on just about every call, the slide five provides a breakdown of net adds by product going back four years. So, starting on the left, you’ll see we had added 233,000 new broadband subs in the quarter versus an average of about 200,000 in the prior three years and 227,000 throughout 2012. So, continued steady growth in our most important and profitable product. Germany had another strong quarter as did Belgium, Chile and Switzerland. In fact, 22,000 broadband adds in Switzerland that was our best quarter in seven years and that’s attributable to among other things our Horizon launch, combined with ever faster broadband bundles. Across our base of 9.5 million broadband subs, speeds and consumption are up 25% to 30% year-over-year to 38 megabits per second and 1.6 gigabits per sub per day. Largely, nearing our broadband growth, we added 231,000 voice subs in the first quarter, we now have over 7.5 million voice RGUs representing 23% voice penetration. And video losses of 92,000 in the first quarter were broadly consistent with prior years and really not that material in the context of an 18 million sub video base. But nonetheless, we watch this metric closely as DU, we saw improvements in markets like Chile and Central & Eastern Europe and Belgium but we also experienced some challenges in other core markets like Holland where we saw strong competition from KPN, and I’ll talk about that in a minute. In addition to Horizon, we recently implemented a number of initiatives intended to improve our video retention including unencrypting the digital basic tier in six markets. And then you’ll see total RGUs on the right, net adds of 373,000, which is higher than our average for the prior three years and essentially consistent with 2012. Slide six provides a regional breakdown of subscriber growth in the quarter starting at the top in light blue, you’ll see the Latin America had net adds nearly double last year at 63,000 and that was driven by 50,000 net adds in Chile really our best result there in nearly two years. Green bar in the middle shows Europe excluding Germany and where despite strong growth in Belgium and Central & Eastern Europe pretty much the entire variance year-over-year of around 50,000 is explained by Holland and again I will be there in a minute. The dark blue bars on the bottom showed Germany which delivered solid growth of 169,000 of new RGUs that’s lower than last year but remember at this time last year, we’re just kicking off our goal for growth initiative and this year, we started the first roll up of the (inaudible) contract which we lost in December 2011 as about 10,000 subs loss there. On a separate note, we’d been success and roughly 65% of the contracts subject to the remedy agreement in Germany and we’re working hard to renew the remaining 35% which account to roughly 1% of total German revenue. At the big picture, the next two slides drilldown a bit deeper into our four largest markets in Germany, Belgium, Holland and Switzerland. And these four markets account for 57% of net adds, 65% of revenue and 77% of operating cash on the first quarter. Collectively, a generative rebased revenue of 8% growth and rebased operating cash flow growth of 6% in the first quarter, should not only our largest markets but also some of our most productive markets. Let me start with Germany at the top of slide seven, which reported strong results once again with rebased revenue growth of 10% and operating cash flow of growth of 11%. As the third consecutive quarter of double-digit rebased operating cash growth helped by continuing streamlining of our cost structure and integration efforts. Over the last 12 months, we’ve now added over 700,000 new RGUs in this market driven by (inaudible) negative bundles which are three time faster than DTEs. End of Q4 is an indication of what Q1 will be given that not all of our competitors have actually reported yet, we feel like we’re still getting most if not all of the new market share on broadband on our footprint as cable on a national level has been accounting for about 100% of the market growth compared to DSL. We’re also working hard to strengthen our video products in Germany, we’ve seen a successful start to our unencrypted basic digital service and the Unity footprint and we added further three HD channels to our lineup which now totals 48 HD channels including 17 Sky. So now, we’re positioned for great growth in this market and we’re playing to (write) Horizon in Q3 which will further differentiate the platform. Switching gears to Belgium, mostly we know we welcome the new CEO John Porter, who was actually on the call here today and he has done a terrific job in a relatively short period of time of rebuilding the management team and actually the morale of Telenet. The company delivered strong top-line performance in the quarter with rebased revenue growth of 12% largely due to mobile and a more typical OCF growth of 4% reflecting lower margins on the wireless products in general. While mobile net adds are starting to decline as we predicted, the company still brought on a 100,000 new mobile subs in the first quarter and now has about 13% of its cable subs subscribing to a Telenet mobile service. In addition to mobile to triple-play bundles continue to resonate in Belgium with triple play penetration up to 42% of their base in the last year. So, I’m encouraged by the new leadership in this market and I feel good about the business going forward. Spend a minute on Holland at the top of slide eight, certainly over the last few quarters we’ve been talking about the competitive environment in Holland and in particular KPNs aggressive approach to subscriber growth at the expense of EBITDA. I believe our EBITDA was down another 20% this last quarter adjusted in their consumer residential business. As a result, we’d been threading water a bit on net adds recently as we intentionally preserved prices and maintain superior products and services and that’s been the right strategy. If you look at 2012 as a whole, we had a twice the number of broadband subs as KPN on the third of the footprint. Well, the second half of last year was tough; we returned to grow this quarter adding the same number of broadband subs as KPN again on a smaller footprint. And demonstrating I think perhaps a return to more rationale behavior KPN just announced the price increase of 2.5% from most of their packages beginning July 1. So, we’re staying in the course. We’re driving innovation with higher speeds and improve video products, we just rolled out a 200 megabit product to around 25% on home past and we’re actually in field trials with the 500 megabit product which we’ll launch later this year. Horizon sales continued to do well, we have over 145,000 installed gateways representing about 13% of our digital base and we continued to improve and involve the platform. We had a 24 new apps during the first quarter including Facebook and Twitter and we’ll launch faster navigation, a new menu structure and a new remote this summer. The key point there is that we’re investing and strengthening our competitive position at Holland and we feel confidence that the market will remain rational and we’ll return to solid growth there. A wrap up in Switzerland which delivered a solid quarter with rebased revenue growth of 5%, an OCF growth of 4% driven by 175,000 advanced service RGUs added in the last 12 months and a 3% video price increase that kicked in on Jan 1. The Horizon launch continues to go well with over 55,000 gateways installed and supported by new triple-play bundle like the one shown here on the slide and our most recent and popular product the Super Combi, which represents more than half of our sales today and includes 150 megabits, Horizon TV in home, of course and our online product. The strategy is working here as well we’re demonstrating pricing power, we’re upgrading internet customers to higher tiers for an attractive price and then rolling out the market’s most advanced video platform. We had the best quarter of Internet growth since 2006 in Switzerland and we’ll also launch a 500 megabit product here before at the end of the year. As a quick overview of our big markets again representing about 2/3rds of our revenue which is growing roughly 8% in the quarter. Then on slide nine, with a quick update on Virgin Media and our rapidly approaching closing of that deal, as expected we did receive EU regulatory approval in mid-April and the S4 proxy was cleared by the SEC last week. Shareholders meeting are scheduled for June 30 and June 4 and we’ll close the deal shortly thereafter. Virgin Media reported good Q1 results two weeks ago, which we’re not supposed to comment on but we do show you on the slide on the right hand side, combined results in the quarter which would have totaled $4.4 billion of revenue for us and them $1.9 billion of OCF representing roughly 5% growth on both metrics. And that of course taking Virgin Media’s results on an OpEx neutral basis and doing the normal rebasing of our results. Needless to say we’re excited, really excited to complete this deal and to start effecting a smooth transition and integration. And with that Bernie, I’ll turn it over to you.
Bernie Dvorak: Great, thanks, Mike and hello everyone. I’m starting slide 11. And so for the first quarter of 2013, our revenue increased 9% or $231 million to $2.77 billion as compared to Q1 of 2012. Similarly reported OCF expanded to $1.27 billion which was up 6% over the prior year quarter. In absolute terms both revenue and OCF were principally driven by the organic growth generated by our strong volume gains in digital TV, broadband and voice and particular we achieved 2.7 million advance service organic RGUs adds and over half million mobile subscriptions in just the last 12 months alone. The positive impacts of acquisitions in foreign currency movements were relatively small this quarter on our reported results. On our rebased growth basis, you can see that we were (squaring) on our mid-single digit range on both revenue and OCF metrics. Rebased revenue growth was 6% in the quarter which was our fifth consecutive quarter with more than 5% year-over-year growth. Rebased OCF growth was 4% in the first quarter of 2013 which was lower than revenue growth for a number of reasons including the growing contribution of lower margin mobile services in Belgium, the non-recognition of feed and fees from German public broadcasters and the impact of Chilean wireless. Slide 12 dives into more granularity of our results by region, our European distribution business generated $2.34 billion or more than 80% of our total revenue or OCF managed to 2.17 billion or more than 90% of our consolidated total. In terms of rebased performance, we generated 6.5% rebased revenue and 4.5% rebased OCF on a year-over-year basis across Europe. Overall, our top-line expansion in Western Europe was driven by a particularly strong result in Belgium at 12% underpinned by mobile growth while Germany, Ireland and Switzerland contributed rebased revenue growth of 10%, 9% and 5% respectively. In terms of OCF, we delivered roughly 6% rebased OCF from Western Europe. Our fastest growing operations in the quarter were Ireland and Germany at 12% and 11%, followed by Belgium and Switzerland at 4% each. Telenet had lower OCF growth in the quarter as compared to revenue. This was due to margin compression over 300 basis points, primarily due to handset subsidies and other subscriber acquisition costs associated with the rapid expansion of their mobile business. Additionally, our Netherlands’ business was largely flat and year-over-year do mainly to heightened competition from KPN as Mike just talked about. Our principal asset beyond Europe, VTR and Chile delivered revenue of $250 million for the quarter and OCF with $85 million representing rebase growth of approximately 8% and 10% respectively. VTRs top line filled by roughly a 25,000 RGU additions and 140,000 mobile subscriptions in the last 12 months. And with respect to Chilean wireless our OCF deficit in the quarter was approximately $19 million. Was about $4 million incrementally higher than our OCF deficit in the prior year first quarter. This reduced our LGI rebased OCF growth rate by 30 days basis points in the quarter. Slide 13, shows our capital intensity and breakdown of our spend on an aggregate basis both our cash CapEx and property and equipment additions declined as a percentage of revenue year-over-year. Our cash CapEx which is not shown here, but what is reported on our cash flow statement was $504 million or 18% of revenue for the first quarter of 2013 versus $521 million or 21% of revenue for the first quarter of 2012. The decline in both quantum and as a percentage of revenue was primarily related to our efforts around working capital efficiency through the use of non-cash vendor financing and capital lease arrangements benefiting Q1 CapEx by $57 million as compared to last year’s first quarter. This should be noted that these arrangements typically have durations of under a year and favorable interest rates. We expect to increase our use of these arrangements as long as it continues to align with our financial procurement strategies. Looking at the left hand side, our property and equipment additions amounted to $536 million or 19% of revenue for Q1 2013 which compares to $507 million or 20% of revenue for Q1 2012. Measured as a percentage of revenue our year-over-year improvement was doing part to lower year-over-year spend in Germany, a function of both lower CPE and project timing. You move to the right side of the slide, the pie-chart summarizes our aggregate spend. CPE and scalable infrastructure which we think of a success based accounted for 59% of our total spend in Q1 2013, up from 57% in Q1 of last year. The increase is due primarily to our Horizon TV rollouts. Rounding at our total spend 27% was attributable for line extensions and upgrade rebuild. A 14% was related to support capital. Slide 14 summarizes the components of our free cash flow and adjusted free cash flow, our adjusted free cash flow for the quarter was $68 million as compared to $279 million for Q1 in 2012. Our cash flow from operating activities of our continuing operations was down 26% year-over-year even though our OCF was higher by about $75 million. The decrease was largely due to the expected reversal of favorable working capital moments from Q4 2012 and to a lesser extent higher cash out flow in the quarter relating to cash paid for interest. And these factors were somewhat offset by a $22 million net positive impact on free cash flow from vendor financing and capital lease arrangements as compared to Q1 2012. The vendor financing impact consist of the $57 million benefit on CapEx which I mentioned on the priors slide offset impart $35 million of incremental principal payments as you can see in the table. If you look ahead, we expect to see higher levels of free cash flow for the balance of the year, and similar to prior years we expect our adjusted free cash flow would be substantially weighted towards the fourth quarter. And furthermore, as we have said publicly a few times, we remain confident in our ability to deliver combined mid-teens free cash flow growth over the median term. Slide 15 recaps our leverage and liquidity position. The pie-chart illustrates our consolidated liquidity of $5.1 billion at March 31, consisting of $1.6 billion of cash at the parent which is the green slice $1.3 billion of cash at the operating subsidiaries which is the purple piece of which $1.2 billion of that resided at Telenet. And in May we will receive from Telenet about €525 million or $675 million which is our share of their €900 million disbursement. In addition to our $2.9 billion consolidated cash position, we had $2.2 billion of maximum borrowing capacity under our revolving lines. This total excludes $3.5 billion of restricted cash on our balance sheet, which is intended to be used to fund the significant portion of the cash requirements of the Virgin Media deal. This cash resulted from the debt that we raised under Virgin Media credit at a pre-swap blended rate of about 6% and which will be pushed down to Virgin Media post-close. And as Mike mentioned we made investment in Ziggo which was funded post close of Q1. And total investment today amounts to roughly $1.2 billion for 18.2% of Ziggo and we are funding it through a combination of margin loans with an initial loan to value ratio 65% in cash on hand. And moving to the right side of the chart our aggregate debt totaled $30.7 billion at Q1 including the Virgin Media related debt that I just mentioned. The capital markets have been very accommodating year-to-date, as we have been able refinance about $5 billion of our debt at UPC Holding and UnityMedia KableBW. As a result of this activity both our maturity schedule and cost of our capital have improved since the fourth quarter. Now about 90% of our debt is due in 2017 and beyond. And our fully swapped cost of debt capital is down under 7%. Our adjusted leverage was exclusive (inaudible) and the impacts of the earlier mentioned Virgin Media debt was 5.1 times on a gross basis and 4.6 times on a net basis, with both ratios reflecting a modest decline from a fourth quarter levels. Slide 16 in conclusion, our business is performing well, we have strong revenue growth over the last few quarters driven by our German and Belgium operations. From an M&A prospective, the Virgin Media transaction will be transformational in terms of the incremental scale of brands. And we look forward to gaining shareholder approvals, in early June as Mike mentioned so we can close the transaction about a month from now around the 7th of June. At the same time, we remain committed to shareholder value creation and we look forward to ramping up our stock repurchase program targeting $3.5 billion stock buy backs over the 2 year period following completion of the transaction. This completes our prepared remarks today. And operator please begin the Q&A.
Operator: (Operator Instructions). And we will take our first question from Ben Swinburne with Morgan Stanley.
Ben Swinburne - Morgan Stanley: Thanks, good morning. I want to ask about the German business and also about your moves to go to unencrypted basic digital across lot of your footprint. Maybe for Mike, in German the OCF growth was really strong this quarter despite the $8 million hit from the broadcaster revs. Can you just comment a bit on where we are in synergies and KBW from a timing prospective. Are those still meaningful and ahead of us, are we now sort of seeing that in the results. And then I am just curious what’s the benefit operationally competitively to rolling out unencrypted basic across your footprint?
Mike Fries: Sure. I will hit the unencryption point and then led Diederik address synergy point. The points on synergy is always, they are starting to kick in, and they can flow their full spectrum here at this point. On the unencryption side, we lose about 80,000, 90,000 subs a quarter on a relatively large video base but we just seem to keep those subs. And in instances where we are losing our subs, it’s often due to lower price alternatives and our view is to migrate people more rapidly into the digital environment if you will. We can make that as a simpler decision by unencrypting, 40 to 50 channels, a half dozen HD channels. We think it’s a smart marketing move. It also indicates, Switzerland for example, allowed us to justify video price increases across our total base. So, if a commitment that I think regulators likes to the extent that we are viewing them as an audience for these sorts of moves and it’s a change that consumers like because it introduces them to the benefits of digital. Now those benefits don’t necessarily involve a guide and a gateway and all the things that we are providing in terms of the platforms that we are providing. But it does get them thinking about digital as a product and makes that migration that much easier and also helps us on the churn and retention of our core basic video sub-base which are highly MPV positive subscribers. That’s the strategy and I think it’s working. We have got 6 markets rolled out at this point and we haven’t seen much in a way of dislocation and I think in the end going to prove to be a valuable strategy and a popular one among consumers and regulators. On the synergy point, Diederik, you want to address that.
Diederik Karsten: Yes. Thank you, Mike. Conclusion at this stage is that they are on track, there’s more to come as well and as a result you do see some reflected into results that’s correct. And at the end of the next season accelerating more.
Ben Swinburne - Morgan Stanley: Thanks.
Operator: And we will take our next question from Jeff Wlodarczak with Pivotal Research Group.
Jeff Wlodarczak - Pivotal Research Group: Hey, good morning guys. I also stick with Germany as well. I guess the first one for Mike. Has anything changed recently that will lead you to believe that the regulators are more amenable to further consolidation in cable. In Germany, is there any benefit potentially to rolling on a national Wi-Fi platform with the regulator. Then I have a follow up.
Mike Fries: Well, no, I will say there has been no demonstrable change in position of the regulator in Germany on the issue of cable consolidation. I don’t and we don’t have any intension at this stage to force that issue or to get them to reconsider that issue, as there is no transaction or event necessary at this point or in the future. So, I don’t believe there’s been a substantive change in their position. I do believe however, over time, they will see the benefits of infrastructure based competition and they will see the advantages of a consolidated cable platform and both the consumers and to be overall competitive environment there, but until we have a transaction or any reason to ask that question, I don’t know that we are going to get any clarity around it. The Tele Columbus, KDGDO, was a different set of circumstances and I am not sure you can draw any conclusions from their position on that particular transaction since it’s a very different set of circumstances. But, you know, I remain hopeful, I will put it that way, that at some point regulators will see the benefits of consolidation but at this stage no immediate change. We haven’t pursued a lot of consolidated German wired opportunities with KDG, they had been pretty busy, we had been pretty busy. We do cooperate on a number of levels in a number of areas, but national Wi-Fi rollout at this stage, I don’t believe is one of them. I think Deutsche Telekom’s transaction with phone, the sort of Wi-Fi sharing platform, is something we can duplicate pretty easily, I mean, its most of the modems we put out today have dual-SSID chips. And so we easily effectuate a comparable platform to phone should we choose to. I am not sure its the most beneficial use of our time and energy today in that market, we are still 200,000 broadband adds a quarter, I think Deutsche Telekom did 3000 nationwide, I believe in the fourth quarter. So I mean the real opportunity for us is to continue to push our broadband platform, continue to get Horizon rolled out, and continue to grow double-digit revenue and EBITDA there.
Jeff Wlodarczak - Pivotal Research Group: Thanks. And then on German housing contracts, it seems like, after that one big win a while ago from DT its been very quiet, is that a function of the fact that just aren’t big contracts coming up for renewal or they in their competing aggressively you just winning? Thanks.
Mike Fries: I think it’s a latter. I will let Diederik add any color to that he might want to, but I think we are competing and we are winning because and by the way the housing association is winning too because generally when we compete we end up having improved terms and it’s a win-win. So for the most part, we are competing aggressively for these contracts, and demonstrating the advantages of our platform and our approach to the infrastructure equation for them and its working. And Diederik, do you have anything to add to that/
Diederik Karsten: Thanks Mike. No, you are absolutely right. It’s also good to remember that there are still a number of contracts which are on the original list, which are terminable and the fact that it’s not happening is indeed a statement of effectiveness of our sales force. But it’s not like everybody has gone through there a special termination rights, still this year few contracts to go through that cycle.
Mike Fries: Well, we got 35% representing on a few hundred thousand homes and 1% of our revenue.
Diederik Karsten: Yeah, 1% its true.
Mike Fries: Right.
Jeff Wlodarczak - Pivotal Research Group: Thank you.
Operator: Our next question comes Vijay Jayant with ISI Group.
David Joyce: Thank you, this is David Joyce for Vijay. Question on the various wireless strategies, if you could talk about your rationale Chile, or you at this point you would be looking for some strategic alternatives with the network there? Is there something that could possibly help if you go to an MVNO relationship, could that help the path profitability there? And in your European MVNO efforts (granted) that’s helping revenue but at lower margins are those going to be kind of the run rates for that product? Thank you.
- ISI Group: Thank you, this is David Joyce for Vijay. Question on the various wireless strategies, if you could talk about your rationale Chile, or you at this point you would be looking for some strategic alternatives with the network there? Is there something that could possibly help if you go to an MVNO relationship, could that help the path profitability there? And in your European MVNO efforts (granted) that’s helping revenue but at lower margins are those going to be kind of the run rates for that product? Thank you.
Mike Fries: Well, our European MVNO platform which we only launched the light MVNO versions thus far in those core markets. But we will be launching the full MVNO products shortly on that centralized platform that we are developing. In the margins actually you are pretty good on those products and services, over time, it’s not a zero margin business, it’s actually a positive contribution to, we believe to revenue and EBITDA over the next 3 to 5 years. But Chile is slightly different equation and the move to an MVNO in Chile which we have put in the queue would be really an attempt to maintain the momentum that we have experienced on the product side which is very, very good. We have got 140,000 plus customers in a year with very little marketing really. But I think to improve the economics, as we disclosed the network economics they are exactly what we hope there would be, we have got lots of things we are doing to improve that. But an MVNO is invisible to its consumer. So as you expect us to do, we want to try to find a way to keep the momentum positive and encouraging for consumers while improving our own economics. It certainly would be an improvement over the long run or we wouldn’t do it. And I think it’s the way to think about it.
David Joyce: Thanks. And on the Horizon roll outs are those coming with upfront operating costs, causing a little near term margin pressure or is that, or are there other affects in the markets for that or that’s been rolling out?
- ISI Group: Thanks. And on the Horizon roll outs are those coming with upfront operating costs, causing a little near term margin pressure or is that, or are there other affects in the markets for that or that’s been rolling out?
Mike Fries: Well, I mean I will let Diederik and Balan address that, but these are largely self installs, so there is no real truck rolls or operating costs. We get call volumes of course but I would say that, we are getting very good at these roll outs and it’s relatively seamless and simple for consumers to connect. But I know Diederik or Balan you want to address ?
Diederik Karsten: Yeah, you are absolutely right, it’s more than 95% self installed and we also charge an activation fee plus there is an incremental ARPU associated with the product. So, all in all I think it’s a good new story.
David Joyce: Great, thank you very much.
- ISI Group: Great, thank you very much.
Operator: We will take our next question from Tim Boddy with Goldman Sachs.
Tim Boddy - Goldman Sachs: Thanks for the question. I just want to ask a bit more about Ziggo and your comment about being a market driven decision and some strategic initiatives in view. Is anything more you can say on that, I mean I get the message that we shouldn’t jump to conclusions. And then secondly, just more broadly on the Netherlands. What conditions do you think needed for growth to resume given that at least so far (inaudible) don’t seem to be lessening their commercial aggression albeit as you point out they have taken some price as they did a year ago? Thank you.
Mike Fries: Well, on Ziggo, they were opportunistic purchases. With the volumes in that stock you would need obviously the sort of transactions that were occurring with respect to the private equity shareholders for anybody to accumulate a position in that stock. So, they were market driven. It wasn’t something that we plotted or planned. There was something that we reacted to and the reason that we reacted to when I described which is we are invested in that market, we like the market despite it’s – a couple of quarters of volatility, and we like the market in the long run. And obviously, we are in the business of building scale, and to the extent that we can build scale with a company like Ziggo. We want to do that, no question about it. Without a merger of course, there are other ways in achieving that and cooperation on mobile we will be one of them, as you know, we do have a joint venture that owns a spectrum and we are looking at ways of working together as an industry, I would say to have a more competitive product. And I think that I will let Diederik answer it more fully. But I think you are seeing a return to growth in the market and we did do, 10,000, 11,000, no, actually 12,000 broadband adds in the quarter which for us, was I think a pretty good number. And if you look at what happened to KPN, they have obviously declined a bit from them prior 2 quarters. And part of that is just, we are responding, you can imagine we are responding with 200 and 500 megabytes speeds in the fiber built areas. We are responding with an improvements to our customer service centers. We are responding with improvements to the Horizon platform. But we are not responding with is a price war, because we don’t think that’s appropriate or necessary in that market when you have superior products. And it appears the KPN feels the same way with price increases. So, a lot of their activities have been marketing and acquisition cost driven, which is why you will see their consumer business declining in profitability. But in the end I think they will be rationale players as well as we and I think you are going to see this market be just fine over the long run. Diederik can you get to the end of that?
Diederik Karsten: No, at end, if indeed it’s true, they are going to raise prices their list prices that would kind of be one good step, although we will moderate for that like you said we have got parts already in place with – in terms of the innovation the highest speeds 200, you mentioned to 500 change the triple-play offers and there is even more to come so we are not going to wait for them. And we are not going to be reactive but we will try to avoid a price war.
Mike Fries: Yeah, watch this market closely, we are going to demonstrate cable’s ability here to compete with fiber no problem. We will get the 500 meg without any major change or upgrade to our networks, we can get to a gig, one-and-a-half gig, with a little bit of investment. And so it will be interesting I think it’s going to be fun to watch, I don’t really, we are not concerned in the least really and I think cable superior network. And the efficient capability of increasing speed from economic point of view you will certainly be demonstrated in this market.
Tim Boddy - Goldman Sachs: Thank you.
Operator: And we will take our next question from Jason Bazinet with Citi.
Jason Bazinet - Citi: Just had a high level question. Given the offer you made for VMED and investment in Ziggo and the stepped up stake in Telebnet, is there a macroeconomic overlay that’s influencing your decision to deploy this capital or rather its do you see inflation coming down the pipe or do we just view these sort of opportunistic one offs that each an isolation makes a sense and there is no overarching narrative? Thank you.
Mike Fries: Oh, I think there is absolutely an overarching narrative, Jason. And it’s the same one we have been articulating for six years straight which is our business thrives on scale, in Europe we have got 12 largely contiguous markets, we’re we built substantial scale. And every opportunity we have to increase that scale is going to be looked at seriously. And also tell you that it’s my view you will see increased consolidation across the European telecom sector, both within the mobile space and the fixed space and that consolidation will be supported if not encouraged by the regulators because I think you witnessed the last decade, a very competitive and a very dynamic telecom sector in Europe largely benefiting consumers in the end, with faster speeds, lower prices, lower roaming rate et cetera. Well, that’s all good. I do think regulators see that telcos and cable operators and wireless operators have had in some cases mostly telcos and wireless operators who had a rough ride. If they want to see good competition and infrastructure investment and all the benefits that come with that in particular growth and jobs and revenues then you know consolidation maybe the right way to achieve that, when you have a hundred plus mobile operators in a region in the size of the U.S. And thousands of telcos if you will and multiple thousands of cable operators, is that really the best solution to a regional economic area and I think the answer is no, and they think it’s no and I do think that we will continue to lead the charge and consolidation where and when we can subject to of course achieving our main objectives of accretive transaction structures and accretive growth and all that. So there is absolutely an overarching narrative. I wouldn’t say it’s “macroeconomic” in that regard because while we feel good about Europe as a whole and we think Europe will be just fine, especially the fact, considering the fact that 80% of our revenue comes from five countries all of which we are doing pretty well in consideration while in comparison to the rest of the region, it’s really more strategic in that regard.
Jason Bazinet - Citi: If I can just follow-up, the consolidation that you referred to, are you thinking about it in pools of wireless assets and pools of cable assets, so you are talking more even including sort of consolidation across wireless and cable?
Mike Fries: I think you will see a consolidation within mobile, within markets and across markets. I think you will see consolidation among fixed line operators within markets potentially and certainly and you have seen that by the way within markets with most resellers going out of business are being brought up and our cross markets. And I think you will see cable play a very important role, both within markets across markets and across sectors. We looked at cable and mobile assets in the past, we looked at this was mobile asset may or may not look at the Irish mobile asset there are massive synergies to be achieved in that regard we have a better business no question about it. So for us it’s tough if we have to be absolutely convinced that getting into the mobile business in whatever way it is accretive because our core business is absolutely solid but I do think you will see thing, you will see activity across the spectrum there.
Jason Bazinet - Citi: Thank you.
Operator: Our next question comes from Matthew Harrigan with Wunderlich Securities
Matthew Harrigan - Wunderlich Securities: Thank you. Firstly on Ziggo, its look like they are taking more of a home zone approach on Wi-Fi, is that something that you would emulate opportunistically. And then Mike you highlighted the flexibility of your network and its apology because there are some things happened to your Apple TV, they are taken about 4K capability, certainly PS4 4K in a video signals or game graphics or 4K. Good chunk of the investment thesis is the CapEx sales coming down, it looks like you are executing on that. Is there anything that gives you pause on that path over time, I kind of your equivalent of any other C-cap migration on the tech side really ensures that these cash flows are going to continue to keep crawling along.
Mike Fries: Well, Balan or Diederik address this Ziggo home zone question. I will tell you that we see that we see a very compiling case for cable infrastructure and the technology roadmap that we are on, both economically and strategically. And I don’t think I’m speaking out of school but I might be, when I say that certainly Liberty Media’s investment in Charter on some level, I think was driven partially by John’s confidence in cable as a technology platform. And his involvement of course in knowledge of our business and what we are doing across 25 million customers and 50 million homes passed would certainly inform that point of view, must leave at there. Balan or Diederik, do you want to address this question.
Diederik Karsten: Yeah, with regard to Wi-Fi flow in home zone Telenet is already ahead of us. Ziggo just successfully concluded the test in the north of the Netherlands which will make them release (inaudible) to a launch date. And though, its partially – its confidential information due to competitive nature of it. We are also considering this to launch this initiative still this year. Of course, our footprint in the Netherlands in those areas where we – I would say where we have enough, I would say book this also, which operate like that. But we do have, we did built quite a base already. So just like Ziggo, we can roll that out. Balan, might be you want to kind of elaborate on the line of complex?
Balan Nair: Sure. And I would say also we wouldn’t be very surprised if customer from Belgium from the Ziggo territory send from the EPC area would be able to interconnect as well as somebody from Amsterdam get on the Belgium (inaudible) and vice versa. And on the other stuff the new product CCAP, we are already deploying CCAP in our network and as like Mike indicated we have the capacity and we are not terribly considering even with 4K.
Matthew Harrigan - Wunderlich Securities: Thank you, Mike, Diederik and Balan.
Operator: We will take our next question from Frank Knowles with New Street Research.
Frank Knowles - New Street Research: Hello, yes, I just wanted to follow-up on the comments on mobile, you obviously had now experience in Belgium and Chile with different types of rollouts. I just wondered what you are thinking in terms, not so much the technology and MVNO choice but the marketing, I mean, you saw in Belgium very rapid growth but also quite a lot of erosion of the broadband ARPU as a result of bundling discounts. I just wonder what your overall thoughts on now in terms of how mobile is best positioned for a cable operator in some of the markets where maybe you are going to be launching in the next few years with the MVNO?
Mike Fries: Hello, Frank you there?
Frank Knowles - New Street Research: Yeah, I’m here.
Diederik Karsten: Probably missed (inaudible) Mike. Did you want to comment on the (inaudible) on the mobile side?
Mike Fries: In Europe.
Frank Knowles - New Street Research: Yeah, the question really is, how do we find bundling in types as we look at the competitive market strategy (inaudible)?
Diederik Karsten: Overall, we believe that we got to the completion of the assortment of our portfolio. We do believe that of down the road also see if the churn reducing effect of that. Well more certain to that is also why the incumbents do it, and companies like (inaudible) as well as Telenet, are now also showing I would say, churn reducing, zeroes for the first time.
Balan Nair: I think it was better to say Frank we discussed this but, I think we don’t see mobile or something serious that is complimentary not necessarily (inaudible) we are not looking to launch a price war and create disruption in the market. What we are trying to do here is to enhance the value of our own customer base. So I think the model that has been used particularly initially Belgium was final. But I’m not sure we are not aggressively grab or support grabbing major market share that is going to cause disruption in market in closing, some sort of pricing pressure.
Mike Fries: Finally I’m back everybody sorry telecommunications.
Diederik Karsten: (inaudible)
Mike Fries: Yeah, I’m in a virtual country surprisingly anyway sorry about that.
Frank Knowles - New Street Research: Good actually we are trying to get the (inaudible) that’s great. Thank you,
Operator: All right. We will take our next question from Bryan Kraft with Evercore Partners.
Bryan Kraft - Evercore Partners: Hi, guys, sort of two questions, one I just want to ask you about the marginal outlook for this year, I mean on a consolidated basis, including wireless and pre-Virgin, do you think you will see kind of a flattish EBITDA margin trends for the full year and also I don’t know how material it is, but I was wondering if you had seen or seeing any impact from KPN entry into Belgium with snow, I don’t know if that’s significant, I was just wondering if you can comment on it. Thanks.
Mike Fries: Well, our margin outlook is obviously to increase our own margins over the next three years you can see that in the proxy when you look at our projections, Virgin pro forma would reduce those margins a couple of hundred basis points or more because of where they are. We also anticipate slight margin improvement from their core business and on a combined basis from our businesses. So I think you were going to stick to that approach with the synergies in Virgin are substantial but no perhaps even under estimated on some levels. So we are encouraged that as we get in there and we have had a chance to really do much we will find other opportunities to increase profitability across the platform and (inaudible) you want to take your first question on Belgium.
Charles Bracken: Sure. Snow had no, no had a significant impact. They had a slow start up with a fairly high connection fee, most (inaudible). And we have had actually had our lowest, some of our lowest television churn as two quarters. So, we’re not seeing a significant impact from snow. We also have a product which we feel matches up quite well with snow. So, we’re quite successful at the saving retaining customer you’re considering switching.
Mike Fries: Nice work. Thank you.
Bryan Kraft - Evercore Partners: Thank you. There is more to go.
Operator: And we’ll take our final question for today from Will Milner with Arete.
Will Milner - Arete: Thanks a lot. I just had question on the free cash flow in the quarter, I think it’s a $200 million roughly less than the quarter year ago and working capital looks like at account rough $15 million of this. So I just wonder if maybe Charlie can explain a bit more drivers on that? And then just the clarification link to that I think this ambition to grow free cash flow mid-teens on a combined basis if you didn’t have the (inaudible) Liberty standalone basis, would you still have the ambitions to grow free cash flow mid-teens to shift? Thanks.
Mike Fries: Well, the second question is, yes, but I’ll let Charlie to address the free cash flow question version.
Charles Bracken: Yeah, I think, the answer yes. The reason we would to mid-teens wouldn’t have much leverage as we have going to Virgin transaction because we level up to buy the whole of (inaudible) need to buy by Virgin. So, without the leverage of Virgin interest expense, so that would supported mid-teens targets. But as it stands today, if you do close Virgin then you will see the underlying few businesses, (inaudible) business grow a little slower that will be offset of the grow in Virgin. So, we are comfortable mid-teens standalone all combines. In terms of working capital I think Q4, we have been trying very hard to improve our working capitals management (inaudible). I think in Q4, what we saw the benefits of that coming through, there was a big push on Telenet, I think pulling off one related to the big dynamics. So I think (inaudible) unwound in Q1. But we’re still do a very comfortable at this revise profitable working capital comes true, we are going to see hit the cash flow targets for the year. In terms of Q1, I think it was more of unwind in Belgium and a little bit of the shifting of the cycle which we’re working on but the overall picture is very strong and you should see some good big improvements.
Will Milner - Arete: Okay. If I just one quick follow-up in Holland then I mean I think just the turn the key track of the pricing changes there you mentioned them around triple-play, I mean just looking on the website looks like potentially that because of the cheapest triple-play offer has been reduced a bit to below €40, I’m also felt as it’s correct then if it’s not design to cope primarily with the cheap (inaudible) offer in the market? Thanks
Mike Fries: Diederik is going to address that.
Diederik Karsten: Yeah, you’re looking at UPC Netherlands side most probably an indeed we reintroduced triple-play for €39.50 to more effectively compete versus their €34.50 back, so it’s a, it’s a less valuable proposition and hopefully that would give us some of that are foundation at the lower end but again without starting a price war, still €5 above what KPN is asking for their entry triple-play off (inaudible) which is the b-brand which they use for their more price aggressive fights
Will Milner - Arete: Right and when that changes made just….
Diederik Karsten: Like I said, this was the adjustment we referred at in April to create a more complete portfolio including also having at least an entry product on the safe side of the lower end of the market, but again like I said at the premium versus KPN not to induce the price war
Will Milner - Arete: Okay. Thank you very much.
Diederik Karsten: Be present there, yeah, okay, thank you.
Mike Fries: Well, certainly we appreciate everybody’s participating in the call. We are (inaudible) and the management team when I say they were extremely positive about where we are right now. I’m a bit under the weather, so don't take, it might appear like a lack of enthusiasm in my voice as anything other than just pure excitement and confidence and what we’re doing and how we’re doing it. This transaction we’re about to close is transformational in so many ways for us and I know each of us on this call as well as co-Virgin management team are anxious and I really excited about putting this two businesses together and showing you guys the benefits of that merger which I think would be substantial and, and really, really positive for years to come. So, appreciate your support as always and next time we’ll speak, we will have completed the deal and reported, talking about the second quarter results. Thanks.
Operator: Ladies and gentlemen, this concludes Liberty Global’s Q1 2013 investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Global’s website at www.lgi.com. There you can also find the copy of today’s presentation materials. This concludes today’s conference call.